Magnus Ahlqvist: Good morning everyone and welcome to our Q3 Results Presentation. We are pleased to present continued good development; we are executing according to our plan with the transformation of Securitas. So, let us start by looking at some of the highlights in the third quarter. The development in the quarter was good. We delivered 5% organic sales growth for the group, 6% real sales growth in technology and solutions. The operating margin improved 60 basis points to 7.5%. And when looking back the last 20 years, this is the highest margin recorded for the group and, obviously, something that we feel very good about. A very strong improvement in Europe in security services contributed in a significant way to the overall performance improvement. And now it's very positive that we start to operate at a high level also in Europe which is helping and essentially means that all segments are now performing and executing on the strategic plan. Looking at the other segments, solid development in Ibero-America and Other also contributed to the results, while North America was slightly below last year. The price/wage balance in the group is positive in the first 9 months. And looking at the cash flow, the operating cash flow was 115% in the third quarter and this contributed to an improved leverage. So with that, let us look at the performance in the different business lines, where strong development in security services is the most notable development. The growth in security services was 4% in Q3 and we feel good about the commercial momentum across all segments. New sales across the group are coming in at higher levels. And the EBITA margin of 6.6% represents a very significant improvement versus last year with improvements across all segments but as I mentioned, the most notable improvement in Europe. The real sales growth in technology and solutions was 6% in the quarter. Order entry and backlog are stable. And as we are finalizing the majority of the STANLEY integration work, we are now able to put more emphasis on driving the commercial development. The operating margin within technology and solutions was slightly below last year due to negative cost development and I will comment on that in a few minutes. But we continue to drive the positive mix change with higher growth in the more profitable parts of the business. Shifting then to the performance in the segments and, as always, we are starting with North America. We have recorded a sequential increase in the organic growth to 3%. And here, good momentum in technology sales contributed but the previously communicated termination of an aviation contract had a negative impact on the growth in services but commercial activity is good. And we see continued recovery and top line momentum in services in the coming quarters. Recorded a positive mix change, technology and solutions represent 38% of total sales versus 36% last year. And the client retention at 11 -- at 87% was negatively impacted by the mentioned aviation contract termination. And turning then to the profitability where we recorded an operating margin of 9.1% in the quarter. And the margin was negatively impacted by the Technology business and the weaker performance in Pinkerton. We had a negative impact in the Technology business unit due to negative cost development after the completed carve-out. So after the successful integration work, we are now fully in control of the running of all parts of the business and, to put it simply, standing on our own feet. But we've also then had some cost issues that we have seen after the completion of the carve-out but I expect that the increased cost level will be addressed in the coming quarters. The Pinkerton business was weak, as I mentioned, in the quarter. One important reason behind the poor performance is that we are going through major modernization and upgrading the systems that are supporting the Pinkerton business and this had a negative impact on the profitability. But we expect to complete the transition work and improve the Pinkerton profitability in the coming quarters. Looking to the services side, good development. Operating margin in the Guarding business improved in the third quarter. I would also like to highlight that we have appointed Jorge Couto as the new leader of our services business in North America. And Jorge has led the Ibero-America business in a very successfully way during the last 5-plus years and started in his role now on November 1. And moving then to Europe where we have really good development. Organic sales growth was 7% in the quarter. Healthy price increases in the services business are contributing. And similar to previous quarters, hyperinflationary environment in TÃ¼rkiye accounts for a significant share of the growth. The Technology business, higher extra sales and a strong aviation from a seasonality perspective also contributed to the growth in the quarter. Technology and solutions represented 32% of sales. Client retention rate was good at 92%. And shifting then to the profitability development in Europe where we achieved an operating margin of 7.7%. And as in Q2, this represents a solid improvement versus the same period last year and improvement in security services is the main driver. And the improvement here in services is important because as commented in the last couple of years now, we have been driving a focused agenda to fundamentally change the way that we are doing business with the shift to quality over quantity and a firm approach in terms of guarding services profitability. And while this has taken longer than I had expected in Europe, we started to see some improvement last year in a few markets. And this year, the improvement is more broad-based and the combination of active portfolio management and also higher margin on new sales are generating the real impact. And in addition to the structural improvement that we see in the profitability in Europe, we did record healthy extra sales but higher demand for traveling in combination with improved operational efficiency also contributed in a significant way related then to the airport security business. The operating margin in Technology was somewhat weaker in the quarter. So we are on the right path in Europe and the execution of the strategy is starting to generate a significant impact. But we have more work to do: continue to drive higher-margin requirements for new contracts, active portfolio management and also cost actions to ensure that we deliver significant margin improvement also going forward. Moving then to Ibero-America where our team continued to drive positive development, the organic sales growth was healthy at 5%. Spain was the main driver with 7% organic sales growth, thanks to very good momentum with technology and solutions sales. Technology and solutions sales represented 36% to sales in the quarter and the client retention was solid at 92%. And looking then at the profitability with 7.2% operating margin which represents 20 basis points improvement versus the same period last year. And here, strong performance in technology and solutions was the main driver together with a positive revenue mix change. And here, obviously, related to what I previously mentioned about Jorge, I just would like to say thank you to Jorge and the team for the solid development under his leadership during the last 5 years. And we are also very glad to appoint Zacarías Erimías to the role as leader of Ibero-America. Zacarías has successfully transformed the business in Spain during the last decade to one of the strongest units that we have worldwide. So, that concludes the overview of the performance in the different segments. And now handing over to you, Andreas.
Andreas Lindback: Thank you, Magnus. Starting with the income statement where we had organic sales growth of 5% and a strong operating margin of 7.5% in the third quarter. Looking below operating result, there are no major news related to the amortization of acquisition-related intangibles or acquisition-related costs. Items affecting comparability was minus SEK697 million where the provision related to the Paragon U.S. Government investigation we communicated in September was SEK536 million. Excluding Paragon, we continue to have significantly reduced spend in our transformation program and the STANLEY integration remains on track for the full year forecast which I will come back to in more detail shortly. The comparative last year was negatively impacted, SEK3.3 billion, by the capital loss related to the divestment of Argentina. The financial net is coming in at SEK577 million which is SEK59 million higher than last year. The increase is mainly driven by IAS 29 hyperinflation and FX. The underlying interest net is down SEK95 million compared to last year which is -- which mainly is due to a reduced interest net as a result of the refinancing activities we have executed over the last year. Our full year estimate is unchanged at SEK2.4 billion, excluding IAS 29 and FX gains and losses. Moving to tax. And here, the forecasted tax rate for the full year is 26.3% which is a slight reduction compared to the forecast of 26.5% in the second quarter. And as a reminder, last year's tax rate was negatively impacted by the SEK3.3 billion non-deductible capital loss in Argentina and positively impacted by reversals of tax provisions in Q4. Adjusted for this, the tax rate for 2023 was 26.9%. Let us then move to our IAC programs. And looking first at the European and Ibero-America transformation programs where we continue to execute at a reduced cost level similar to last quarter in Q2, we are leveraging our previous investments into the platform design and into the implementation program to have a more scalable and cost-effective rollout. And in the third quarter, the cost was SEK21 million. The cost run rate will continue to be at the lower level in Q4 and the estimate for the full year remains unchanged around SEK150 million. Related to our STANLEY integration, we continue to see solid progress in the third quarter. In North America, we have concluded most integration work streams. And outside some outstanding activities on the IT side, the integration is complete and we are now shifting more into market and growth focus. We continue to make good progress in Europe as well and the full year forecast is unchanged around SEK550 million to SEK600 million, where we will likely land in the upper end of that interval. Through the successful execution of these 2 programs, we have built a stronger and more scalable business where we are in a good position to continue to grow our high-margin business, generate scale benefits across the organization and drive cost efficiencies out of our cost base in the coming phase. Looking at the left-hand side, we have been going through a period of investments into our transformation programs and the STANLEY integration over the last years. The IAC cost peaked in 2023 with a total cost of SEK1.35 billion for the year. In 2024, the investments are reduced and we expect to land between SEK700 million to SEK750 million, excluding the previously communicated costs related to the Paragon U.S. investigation provision. Moving then to an overview related to currency and the FX adjusted result development. And here, we saw a negative impact from currencies in the quarter and mainly related to the U.S. dollar. On sales, there was a 5% negative impact from FX and with a similar impact on the operating result. The impact on the EPS, excluding IAC, was higher and that is mainly derived from us having a different currency mix below the operating result. The ratios related to EPS, including IAC, are less relevant in the quarter as we, last year, had the impact from the capital loss related to the divestment of Argentina. The third quarter EPS real change, excluding items affecting comparability, was strong at 24%. And in essence, this is derived from the real change on operating income also being strong at 14%, positively impacted by the 5% organic growth in combination with the strong margin development and with a further positive contribution from reduced underlying interest net and lower tax rate. All in all, a strong development in our EPS, excluding IAC compared to last year. We then move to cash flow where we had significantly improved operating cash flow in the third quarter on a weak comparative. The operating cash flow was SEK3.4 billion in the third quarter or 115% of the operating result. The improvement was mainly due to reduced account receivable position coming from both reduced growth levels and an improved day sales outstanding or DSO. Overall, we also had positive cash development and less negative impact from the platform integration and implementation work in the third quarter. CapEx was somewhat lower in the quarter, positively explained by lower IT and transformation program spend and, to a lesser extent, explained by a correction related to IFRS 16 which has no material impact on our run rate going forward. We continue to expect our CapEx to be less than 3% of sales. On the negative side, we had a lower payables position somewhat hampering the cash generation. Free cash flow landed at SEK2.3 billion and this was supported by the improved operating cash flow. And as expected, we saw reduced cash-out related to our finance net compared to last year, where we also remain with the estimate that the full year cash flow from the finance net will be around minus SEK2.2 billion. Increased tax payments have hampered the year-over-year free cash flow development. And year-to-date, we have approximately SEK740 million in higher tax payments compared to last year. A majority of the increase is related to payment timing effects and the remaining part is mainly related to higher taxable earnings. Part of the timing effects will be regained in the fourth quarter but the tax payments for the full year will remain higher compared to last year for the reason I have mentioned. All in all, we delivered a solid operating cash flow in the third quarter and we are in a good position to deliver a full year operating cash flow within our financial target of 70% to 80% for the full year. We then have a look at our net debt which landed at SEK38.5 billion at the end of the quarter. This is up SEK1 billion from the start of the year, negatively impacted by the SEK1.1 billion dividend we paid in the second quarter, SEK0.7 billion of IAC spend and SEK0.7 billion negative impact from the weakened Swedish krona, while our free cash flow of positive SEK1.4 billion impacted then positively compared to January this year. In the quarter itself, net debt was down SEK3.4 billion and that is mainly thanks to improved free cash flow generation and the strength in Swedish krona. I want to mention as well that we have not made any payments related to the Paragon U.S. Government investigation in the third quarter. The final amount and timing of the payment is still subject to finalizations of the discussions with the U.S. Government and we will provide more information in due time. Going to net debt/EBITDA, here, we saw good deleverage of our balance sheet, mainly supported by solid EBITDA development, the good free cash flow generation and the strength in Swedish krona. The net debt to EBITDA landed at 2.7 to be compared to 2.9 in the second quarter and 3.1 in Q3 last year. We have a strong balance sheet today and we are well below our target net debt to EBITDA of less than 3x. Moving on to have a look at our financing and financial position, where we continue to have a strong balance sheet and we remain without any financial covenants in our debt facilities. The liquidity position strengthened further in the quarter after the good cash generation. We also have our RCF of more than EUR 1 billion in place until 2027 and it remained undrawn at the quarter end. And as I have mentioned earlier, we are currently -- we currently have less maturities to refinance after the STANLEY takeout and after the bond issuance we did in the beginning of the year. We continue to make use of our strong credit position by refinancing higher-cost debt to minimize our interest costs. And in the quarter, we refinanced the majority of the outstanding Schuldschein facility with the new bank loan at substantially lower margins. In October, we closed out a SEK1.5 billion private placement with maturity in 2026. And this facility will be used to partly pay off existing maturities of around SEK3 billion in the fourth quarter. The residual maturing amount in Q4 will likely be paid off with cash at hand or short-term facilities. Looking at our credit rating, that remained unchanged in the quarter. S&P actually confirmed our BBB stable rating. And we continue, as always, in an unchanged way, to continue our focus on cash generation, strengthening our balance sheet and remain committed to our investment-grade rating. So with that, I hand over back to you, Magnus.
Magnus Ahlqvist: Many thanks, Andreas, for a good overview. So let me just share a few comments related to our strategic journey before we open up the Q&A. So as commented at the beginning, we are making good progress in shaping the new Securitas. We keep executing on our strategy, enhancing the capabilities that we bring to our clients to shape what I firmly believe is the strongest client offering in the industry. And existing and potential clients are looking for a strong partner and they appreciate also our long-term partnership approach. So the feedback from our clients is very good on the changes that we are driving in the company and we are optimistic regarding the growth opportunities in the coming years. And the performance improvement in the last couple of quarters represents another important step in our journey towards achieving 8% by the end of 2025. And this bridge is just a repetition from what we shared at our Capital Markets Day in March this year, where we went through the key focus areas to achieve 8% by the end of 2025. And while we still have some work to be done, we are making steady progress. And getting this work done is important, elevating the performance since it will enable us to shift the focus beyond 2025 and then optimizing the business and driving higher shareholder value for the longer term. So to sum this up, we are executing in line with our strategy. Results are now becoming visible across all segments. We feel good about the 7.5% operating margin which is the highest quarterly margin achieved year-to-date. And I just wanted to highlight as well the great Securitas team doing a great job in driving this transformation. So we are clearly on the right path. And with that, happy to open up the Q&A.
Operator: [Operator Instructions] The next question comes from Andrew Grobler from BNP Paribas.
Andrew Grobler: Three from me, if I may. Firstly, just on the margin bridge towards that 8% target that you had talked to before. Just given the movements in the business over time which of those components are now bigger or smaller relative to previous expectations in terms of driving that margin accretion, particularly I'm thinking around stuff like strategic assessments where not much has changed since these were originally set? Secondly, just on free cash flow which was very strong through the quarter, particularly working capital. To what extent is that timing? And to what extent is that structural or strategic changes within the business, i.e., sustainably better going forward? And then third, just slightly a housekeeping one. Other -- or the Other segment was materially better than it was in Q3 '23. From a profitability perspective, could you just talk through the changes there, please?
Magnus Ahlqvist: Thanks, Andy. So I'll take questions number 1 and 3 and then I hand over net working capital to you, Andreas. When you're looking at the margin bridge, as we said from the beginning, that is not an exact science but we really try to highlight the key focus areas. And I would say that the good thing is that we are making steady progress and I wouldn't really highlight any significant change in terms of the relative importance of those. In a way, I mean, we are really happy in terms of the development in the last couple of quarters where we are. But at the same time, we're just executing to the plan that we built. And we continue with that focus as well. And then obviously, there is always different dynamics that you need to manage because you don't know everything back in 2022, exactly how it's going to play out for the next 3 years but I feel that we are on a good path. When you're looking at Other, a couple of key components. We have good business development in the AMEA part of the business, so that is across Asia Pacific, Middle East and Africa, also have improvement in Securitas Critical Infrastructure and then also good cost management on a group level. So those are really the main reasons behind the development in Other.
Andreas Lindback: And related to the free cash flow generation, if you're looking at the operating result, I wouldn't say there are any major timing differences or the like in the quarter. It's a solid quarter with a weak comparative in Q3 last year. And the net working capital as a percentage of sales remains stable in Q3 compared to Q3 last year as well. So I would say from that perspective, business as usual, obviously, with the support of reduced growth compared to previous years and that helps our net working capital position. So we expect that we should be able to have a good cash flow and be within our 70% to 80% for this year. Then where we have had a timing impact and I was trying to explain that as well, is on the tax side where we have seen some negative timing impacts this year, as I mentioned earlier. But operating cash flow-wise, it's a solid quarter without any major timing impacts.
Operator: The next question comes from Remi Grenu from Morgan Stanley.
Remi Grenu: If I may, so the first one is on probably the key highlight of the publication. So the improvement, especially in manned [ph] guarding profitability in Europe, it's quite a steep improvement you've delivered. So I wanted to understand what has changed really within that business, if you can elaborate a little bit on that? And if we should extrapolate that kind of year-on-year improvement over the next few quarters, you believe, or if there is any kind of one-off effect in there? So that's the first question. The second one is on the U.S. I picked up on your comment that you want to focus on commercial development now. So if you can elaborate a little bit on that and when and how fast you believe that you can improve that client retention which is slightly down versus historical levels? So that's the second one. And then, the third one is on pricing. You're flagging that over the first 9 months, the pricing had a positive impact, I guess, running a little bit higher of cost inflation, so positive impact on profitability, I believe you mentioned. So can you just help us quantify a little bit that positive pricing impact?
Magnus Ahlqvist: Thank you, Remi. So when you look at -- yes, starting with question number 1, on the European improvement, just to give some more context to that, we have been driving the same strategy for a number of years now. And we started to also highlight that in 2023, we were seeing more impact but in a few markets in Europe in the early phase. And when you look in the difference between '23 and '24, when I look at the more kind of the structural improvement of the business, in '24, we are seeing more of a broad-based impact of the actions that we have initiated. And a lot of that has been related to driving the mindset change because we are long term but we've also been very disciplined in terms of saying that all business that we have has to be sound business. So in a sense, you can say that we have driven really, really strong priority and emphasis on quality over volume. And that change is something that we had to drive internally to really get everyone aligned and to buy into that and then to drive that. But it's also something that we had to do in a respectful way with our clients as well because it's also in the clients' interest that we are making sustainable business because otherwise, we will not be able to deliver the quality that they are expecting from Securitas and we will not be able to reinvest in the business. And driving that change, it's taken longer than I had anticipated. And I've been quite honest about that as well also internally, especially but also externally that we've been waiting to really see the impact. That impact and the work that the European team has done has been good in 2023 but it's now happening at a broader scale in 2024. And that is the main reason, I would say, behind the margin improvement. If you look at what is temporary here, we had a very strong quarter in aviation. So seasonality here is also playing a very important role but it's not the majority of the improvement but it's a very important part of the improvement without going into more detail. And I think that is just something to also reflect upon is that we had a weak start in aviation at the beginning of the year. We see clear seasonality pattern. So what we have done is that we've driven operational improvements in aviation but we also expect that Q3 is going to be a peak and then it will be operating at a significantly lower level in the coming quarters. So that is just to be clear also in terms of the dynamics. When you're looking at the U.S. and the commercial development, we feel good in terms of the commercial development in the U.S. Obviously, the organic sales growth, 3% on the totality is a little bit lower but we have a few percent there related to the large aviation contract that was terminated. So when you exclude the impact from that one, we are in pretty good shape. And I think the most important is we also have healthy new sales coming in. We have a really strong offering in our Technology part of the business. We have a very strong offering in our Guarding part of the business. And there, we are performing in a good way. And that's also the reason that I'm saying that I'm expecting also improvement of the growth in the coming quarters. You mentioned the client retention. I think the client retention is very much -- I mean that number, around 87%, I believe, it's a lower number but that is very much impacted by this large aviation contract that was terminated. Looking then at the last question in terms of pricing. Yes, it is correct, we are slightly ahead in terms of price increases over the wage increases this year. We have a track record of being able to manage this in a good way, if you're going back the last couple of years or even 5 or 10 years because it's a very important part of our business. And there, I would just say that if you're looking at the European market, the wage increases in 2024 are lower than 2023. And there, obviously, we also then have to watch how this is developing over the next 15 months, essentially, going into 2025. But I think that kind of trend of a reduction, we would expect that to continue. But this is something that we are working with continuously and also don't really have an issue. We want to pay our people well but it's just important that we're also then able to take that wage increase also then to be on balance also in the relationship with the clients. But we do have a good track record and also continuously a lot of attention on that.
Andreas Lindback: Pricing is also an important component of our active portfolio management where we are addressing the contracts where we have subpar profitability, where increasing prices is obviously one tool to get those contracts back into a healthy margin as well. So that is also impacting the slightly positive price/wage.
Operator: The next question comes from Suhasini Varanasi.
Suhasini Varanasi: Just a couple for me, please. Can you -- you talked about the pressures on the technology margins in both North America and Europe but it sounds like this can basically continue over the coming quarters. Should we basically -- should we expect this to weigh on margins over Q4 and Q1 next year and then maybe start to show an improvement from Q2? And the second one is on IAC costs. Can you remind us, please, how do you see IAC costs going into 2025?
Magnus Ahlqvist: Thank you, Suhasini. So yes, it is correct. What we have done here over the last 2 years essentially, because it is 2 years since we closed the standard transaction, is that we have been driving with good progress, what we have called the integration and the co-creation work. But there is also some -- a number of complexities when you do that. And one of the complex aspects of this type of work is that we have then been carving the business out essentially from STANLEY and then integrating that into Securitas. When you do that, there are some services that they, as a seller, would be providing during a specific period of time. The good thing now is that as we have completed a lot of the integration work is that we are now running the business and in control of all the different aspects ourselves. So we're standing on our own feet in a sense. What we have noticed here in the last couple of months is that we had a little bit of a cost creep and that has then had a slight negative impact on the margin in the Technology businesses. So this is something that we have high attention on. Expectation from my side is that this is something that we are going to address during the coming quarters and then see improvement but we're not breaking out one particular quarter but with emphasis on coming quarters.
Andreas Lindback: Related to the question on IAC, we are focused on continuing to reduce the items affecting comparability in 2025 compared to 2024, as we have said previously as well. In the Capital Markets Day, we said we would be below the SEK550 million. When we started the year, to be clear, we said IAC this year would be SEK550 million. And in 2025 and beyond, it would go down from that position and we remain with that same message also at this point in time.
Operator: The next question comes from Raymond Ke from Nordea.
Raymond Ke: Two questions from me. First, just on extra sales, was the Olympics sort of a positive contributor to margin here in the quarter? And if so, curious if you've done the exercise to see what sort of European margins would have been without it? And secondly, we've seen the margin improvement in Europe. I just want to ask a bit about the timing of margin development in Ibero-America and how we should think there. Like were you disappointed because it didn't keep up with Europe in margin improvement? Or are you prioritizing sort of Europe ahead of Ibero-America and this is pretty much in line with your own expectations?
Magnus Ahlqvist: Thanks, Raymond. We decided at an early stage related to, for example, the Olympics or the European Championships that we need to prioritize our resources on existing kind of long-term client relationships. So we have not actively been seeking a lot of business opportunity related to either of those events. But having said that, I mean, obviously, they are very significant events. So I would say that there's -- yes, if there has been an impact, it's been a small impact. So I wouldn't really overemphasize that and that is 100% in line with our strategy and also then, like I said, prioritize long-term client relationships and really making sure that we're building a quality business. On the question about Ibero-America, I think just to put some perspective here, I made some positive comments about Jorge and the team and what they have done over the last 5 years since Jorge started in July 2019. And we've been consistently driving very good improvement in Ibero-America in that time frame. So I think there, we are clearly on the right path. Yes, Europe now kind of accelerated their improvement when they're looking on a year-on-year basis. But the strategy that we have is consistent and it's the same across all segments that we operate. And I would say that the -- what feels really good now is that up until the last couple of quarters, we have been a little bit below and somewhat behind in terms of the execution in Europe, they are now starting to really catch up. So clearly on the right path and that's obviously helping the entire company. But what we are delivering is essentially we're doing good work, I would say, across all the segments at this point in time. But there is still much more work to be done, I should highlight. So we are happy with the progress but we also need to make sure that we continue to execute on our plans.
Operator: The next question comes from Viktor from Carnegie. The next question comes from Raymond Ke from Nordea.
Raymond Ke: I could ask one more question, I guess. Just curious on the IAC, I think it was asked before but you did say that you expect it to come down on the next years from SEK550 million and not sort of the raised level of SEK750 million. Is that correct?
Andreas Lindback: Correct. Nothing has changed compared to what we said in the Capital Markets Day.
Raymond Ke: Right. And just looking at IAC related to the STANLEY integration, expected to sort of reach SEK1.5 billion, the guidance here after 2024. Presumably, I mean, is it fair to assume that this continues? Or do you really expect sort of a hard and abrupt stop here in Q4?
Andreas Lindback: When it comes to the STANLEY integration, it's not a hard and interrupt stop [ph], so to say. As I mentioned earlier, in North America, we have closed down most of our integration work streams in a successful way. And we are also working hard to close down the majority of the remaining outstanding work streams that we are having in Europe. And then, as I also mentioned, we have some key IT projects related in North America still to do that will go into next year but it's basically one project. So we are getting into more into business as usual going into next year when it comes to the STANLEY integration. But when it comes to the IAC guidance, just to be clear on that, I mean I just want to be clear, I mean we have said in the Capital Markets Day, it's going to be below the SEK550 million and that is what we will remain with at this point in time as well. And we are making good progress on the integration of STANLEY overall.
Raymond Ke: Okay. Great. And just a final quick one. If you compare the organic growth and the drivers there, how much is price versus volume in this quarter?
Andreas Lindback: So where we have volume development in the quarter is mainly related to the -- on the technology and solutions side and on the aviation space. Otherwise, it is mainly price-driven, as we have said in previous quarter as well. What was positive to see in the quarter itself is that our volume portfolio actually increased in North America and Europe, not impacting so much the organic sales growth in this quarter but it was a positive sign there. But on the Guarding side, otherwise, it's mainly price-driven. And then I can -- we also normally get the question how much [indiscernible] is impacting as well where you can say, I mean, on a group level, [indiscernible] is impacting approximately 1/3 of the organic sales growth; and in Europe, around half.
Operator: The next question comes from Viktor from Carnegie.
Viktor Lindeberg: So trying to follow up again here. On your strategic assessments, could you say how much of this is an internal sort of exercise and preparation, getting the assets in shape versus the market or external perspective of finding prospects and sort of, call it, negotiation in light of overall market turmoil and so forth? So where are you in that balance? First question. Second, on U.S. corporate tax sensitivity, could you elaborate a bit on what trickles through from your operating earnings down to bottom line that one should be mindful of when modeling your tax in the U.S. business? Starting with those two.
Magnus Ahlqvist: Thanks, Viktor. I have been very clear in terms of all parts of the business have to be aligned with and also to support our 8% margin target by the end of next year. That remains the same. We are not commenting anything or speculating on any of that work but I think that is the guiding principle. There has to be a strong strategic fit, all parts of the business fully aligned in terms of how we're building a sharper and stronger Securitas. But no other comments apart from that.
Andreas Lindback: Looking at the U.S. tax question, I mean, we have -- more than 50% of our profitability lies in North America today. We have, as you know, a very good strong business there with good profitability as well. So I mean a major part of our tax payments is in the U.S. today. Then, it's more -- I mean it's more complex than only looking at the income tax rate. There are several other factors impacting what the effective tax rates in the U.S. will be. So I'm very well understanding the question here but there is a lot more to be seen before any conclusions can be drawn.
Viktor Lindeberg: Okay, I appreciate that. Some housekeeping from my side and maybe looking at contract expirations around the corner. Any sizable contracts that we should be mindful of when modeling organic growth going into the next year for the different business lines?
Magnus Ahlqvist: Yes. I mean we typically don't give guidance, as you know, Viktor but we continue to work in a very structured and, I would say, disciplined way in terms of active portfolio management. If I'm looking at the last 2 years now, there's clearly been a negative impact in terms of the portfolio development to the volume but then we've been able to compensate that with price increases. As we said at the very beginning, we obviously want to keep and to develop the client relationships but we also need to be humble but also very firm in terms of making all the business sustainable. And that will be the same also over the next 6 to 12 months. So that's really the dynamic that we are working through. And yes, sometimes, it is a little bit painful when we need to terminate but we are 100% committed to the work that we are doing. And I would say on the totality, some people were asking a couple of years ago, when we started to talk more actively about active portfolio management, what will happen to the overall growth? And I think that we are showing that we have been delivering decent growth also in this process. And ultimately, the strongest kind of result that we can achieve is that the clients say that, you know what, we want to continue working with you and that has been the case, not in all cases but in the majority of the cases. And that is the positive thing from this work that we have been driving.
Operator: The next question comes from Sylvia Barker from JPMorgan.
Sylvia Barker: Three for me, please. Firstly, on the European margin and the impact from optimizing the profitability, so how much of that is contracts being exited versus you repricing contracts? And how do we think about that kind of being ongoing or annualizing in any particular fashion over the next few quarters? Second question, Germany and France are your biggest European markets. Just mindful of the macro, can you remind us how much of these markets and how much of the revenue is from auto, aerospace or manufacturing customers, please? And then finally, just a very small point but depreciation stepped down quarter-on-quarter. What's the reason for that?
Magnus Ahlqvist: Thank you, Sylvia. So when you look on the European margin, the majority of the improvement that we are driving is, yes, what we would say more of a structural improvement. So that means that on the totality then driving improvement of the margin. A relevant and important part but not the majority, is the seasonality impact primarily then from aviation, as I highlighted before. And I mean, you asked specifically in terms of the impact between contracts that we're exiting and then the price increase. Well, the answer is that it is really a combination of these 2. But I would also highlight that what is really positive when I look at the last couple of quarters and the last 1 year, 1.5 years in Europe is that the business that we are winning is healthy in terms of volume but it's also at higher levels in terms of pricing and margin compared to what we did before. So that also means that the business that is coming into the portfolio is a healthier business. And then obviously, active portfolio management, like Andreas said before, I mean, price increases is an important part here also to drive adjustment of contracts that are not healthy. If we can drive that adjustment, we also always look at how can we integrate with more of an integrated solution, leveraging also technology. If those 2 are not possible, well, that is essentially when we then work towards terminating the contract to ensure that everything is healthy. To your second question in terms of France and Germany, they are very important markets for us in Europe. When you look from a segmentation perspective and I think you asked specifically about the automotive manufacturing, et cetera, yes, we do have exposure. But generally speaking, I would say that we have the benefit of also being really well positioned with faster-growing segments. So in the technology space, as we have shared over the last couple of years, we have a very strong position with a number of the leading companies in the world. Data center space, similar. So I think on the totality, we feel pretty good in terms of our segment exposure. But it has not escaped us that, especially when looking at Germany, that it is a tougher situation right now for a few of the sectors in the German market. So that is also something that we are watching. But generally speaking, I would say that we are quite well positioned in terms of the exposure that we have and the strength also in other segments.
Andreas Lindback: Related to the depreciation question, if you're looking at it as a percentage of sales, there is not a major move between the quarters. Then there is a small impact from the IFRS 16 adjustment that I mentioned earlier but there is nothing specific in there.
Operator: [Operator Instructions] The next question comes from Johan Eliason from Kepler Cheuvreux.
Johan Eliason: This is Johan at Kepler Cheuvreux. I was wondering a bit about your growth. I mean you don't have a growth target for the group but you do have this 8% to 10% growth target for the technology and solutions part of the business. And now when we look back sort of a bit more than a year, we see that you've been at the very low end of this 8% to 10% target or below. I mean, this quarter, you talked about 6% and it was sort of just at around 8% in the previous quarters, et cetera. Why is that? And what do you aim to do about it? And then secondly, on Technology, the margin, you have highlighted a number of issues on the cost side, explaining why it looks like the margin actually fell year-over-year in the Technology business. How do you see this? Is this also impacting the next quarter, we should be expecting falling technology and solutions margins year-over-year? Or this cost focus you mentioned that will improve over the coming quarters, will it safeguard already the Q4 margin?
Magnus Ahlqvist: Thank you, Johan. Yes, so the growth target that we set and communicated on 8% to 10% on technology and solutions, I mean that is a healthy -- that's a pretty ambitious target. We said that because we have a stronger offering than ever. We have a unique capability in terms of being able to combine people and technology into the integrated solutions. And our technology capability today, I mean, we are one of the -- clearly one of the leading electronic security technology companies in the world. And that's something that, I would say, in some of the segments like global clients, for example, that is really starting to kind of convert into better growth numbers. We have had -- and I think this is something that is just a reality, we have spent a lot of time in ensuring that we are integrating STANLEY Security completely into a new technology business. And as we're wrapping that up, my expectation is also that, that will mean that we're able to dedicate more time working with our clients, more time driving the commercial development so that we will expect that we're going to see a healthy growth rate in the coming years. Another factor, of course, that we have also shared in our plans or that is important for our plans is also as we are generating better profits, also higher cash flows, lower leverage, we are now able to start much more actively as well at acquisitions to strengthen but also to be disciplined because we're building a really strong platform in terms of our technology capabilities now in the markets that we prioritized as strategic in Phase 1. And here, we have -- I mean we are in a good position to also do really meaningful bolt-on acquisitions but then also selectively strengthen our capabilities in other markets. So that will also be another driver when you're looking at the growth opportunities in the years ahead. Second question about the Technology margin, yes, it was a little bit lower than my expectations in the quarter. That is related to the fact that we have -- yes, there is a certain impact after having completed carve-out activities, et cetera. The good thing is that we are now fully in control of all parts of how we're running the business, not receiving services from anyone else. But we expect that we will be able to address that cost pressure in the coming quarters. So I think that is really the key message but we are on top of it. And I think it's also something which -- just to build on what Andreas highlighted earlier, as we're now coming into the very final stage of STANLEY integration, it's going to feel quite good as well not to have to relate to that anymore because then now the business is our business and now it's really up to us how we optimize and drive the growth but also then leverage the great offering that we're starting to build now across all of our protective services.
Johan Eliason: Good. Just a follow-up on the margin, I mean it's a pretty good level, I must say, I mean, 11.2% or so. Have you seen a different growth rate from the sort of technology type of business like STANLEY and the solutions you add on top of it if you look at the organic growth? And could that be a positive or a negative margin driver as well?
Magnus Ahlqvist: So, it's been a fairly similar profile in terms of the growth rates when you're looking at those 2 and I think that's a positive thing. The integrated solutions, that is obviously something that we have had. It's a clear priority in our agenda for a long period of time but that is also then going significantly deeper and based on the client risk and needs profile then building something which is more customized for them. But we have good momentum here across both parts in terms of the growth but also in terms of the margin profile.
Andreas Lindback: When we closed the -- just one comment here. When we closed the STANLEY acquisition, we got a lot of questions around the organic sales growth historically from STANLEY having been low and how we are going to change that and start to grow at a significantly higher rate. And I think, honestly, we're also proving that with 7% year-to-date. And as Magnus said, it's a good balance between the growth in solutions and the growth in technology. I think we have proven that we can take this business with our stronger value proposition, with the strong position that we're having as a company, we are driving a higher growth rate than was managed before we acquired STANLEY basically. So I would also -- that's also a positive conclusion I would draw here after 2 years after the closing of the acquisition.
Operator: The next question comes from Stefan Ward from Pareto Securities.
Stefan Ward: I'd like to ask you a couple of questions regarding Spain and Portugal. If you could break out the performance of those 2 markets in Ibero-America as much as possible in terms of sales, EBITDA and margin? And also, if you could describe a little bit about the price/wage balance in those markets and the demand situation, please?
Magnus Ahlqvist: Thank you, Stefan. So I think we have typically highlighted Spain on a number of occasions because that's a very significant part of the business in Ibero-America. When you're looking at Spain and Portugal, these are 2 really well-performing markets. We have strong leadership, strong teams. We have a track record and a history of delivering the full value proposition of Securitas to the clients. And that is something that has been -- also when you're looking in this quarter, technology and solutions is a strong driver of the growth. And we are also in a good position in terms of profitability. So I would really say that Spain and Portugal are 2 of the example markets, if I can call them that, in terms of how we are building the entire Securitas business. They are 2 good reference points. Price/wage, looking at those markets, similar trend, as I highlighted across Europe before, lower wage and price increases this year compared to last year. My expectation, without having a crystal ball, is that we will continue a little bit on that kind of trend of smaller increases in the coming year as well. And I expect that to be similar also in those 2 markets.
Stefan Ward: Can you give some -- I mean I assume that you are around 75%, 80% of sales and possibly even higher of EBITDA. Can you confirm that you will give an update on that in terms -- as a portion of the Ibero, that is?
Magnus Ahlqvist: Yes. So I mean we made a few comments in terms of the importance of Spain before, obviously. After the divestment of Argentina, that significant -- I mean, that increased because the Argentina business was quite significant in terms of volume. But we don't break out the exact percentages in terms of the different markets.
Stefan Ward: Then a little bit different question but wouldn't it make sense at some point to include those markets in Europe instead? Because if LatAm is such a small portion and they have increased their size and they are European markets and well performing, what's your view on that?
Magnus Ahlqvist: Yes. We've just made an announcement with Zacarías Erimías [ph] now who has been leading Spain very successfully. I'm really glad to see that he is now taking responsibility for Ibero-America. We feel good about where we are in terms of the structure here. And yes, there is a couple of different factors essentially. When you look at language, when you look at some of the client base, looking at some of the dynamics, there is quite a lot of commonality. And I should also highlight that what we are driving across Spain and Portugal, we're also driving with success across a number of markets in Latin America as well; higher emphasis on technology, higher emphasis on solutions. And the biggest difference that I would say today compared to 5, 6 years ago is that with some of the divestments that we have kind of pruned out of the business, we have a good footprint. And that footprint, we're also quite efficient in terms of how we are running the entire Ibero-America operation. So we feel good about the structure that we have. And I should also maybe highlight, Stefan, that if you look at our global clients which is an important part of our business, the global clients we are coordinating on a global level regardless of where they are, if they are in Asia Pacific, Middle East and Africa, Latin America, Europe or North America. And that's also a model that we have built with great success now. And I think that is also something that our global clients also highly appreciate. So there, the kind of the divisional or the segment type of how we split that has less significance because we're really then aligning that across the entire footprint.
Stefan Ward: Yes, I understand. My thought is more like since the margins in Europe have been struggling, they're now improving but you have such well-performing assets actually in Europe. So that could be part of a solution to improve the profitability in Europe. But that's just a thought. Congratulations on a great set of numbers.
Magnus Ahlqvist: Thank you.
Operator: The next question comes from Remi Grenu from Morgan Stanley.
Remi Grenu: Just one follow-up question on my side to a follow-up on one of the questions asked by one of the other analysts and on specifically the margins in Europe, the improvement and then the 2 things you mentioned, so the seasonality of the aviation business. So just to ask the question slightly differently, I mean your run rate is 70 bps improvement in year-on-year in Q3 in Europe. So of that 70 bps improvement, what do you think is -- we can extrapolate for the next few quarters? Or assuming that kind of improvement going forward, do you believe that would be a little bit on the ambitious side?
Magnus Ahlqvist: Yes. So I think to put it clearly and Andreas, you can correct me here if I'm a little bit off but I would say that the majority of the improvement is structural. But then a significant part but not more than half then, if the other part is the majority, a significant part is then related to aviation, very strong performance and seasonality.
Operator: There are no more questions at this time. So I hand the conference back to the President and CEO, Magnus Ahlqvist, for any closing comments.
Magnus Ahlqvist: Many thanks. Thanks a lot to all of you for your interest. And like we said, we are in a good path and delivering and executing according to the strategy. So looking forward to seeing you soon. Thanks a lot, everyone.